Kgaugelo Legoabe-Kgomari: Morning, everybody, and welcome to Barloworld's Annual Results Presentation for the Year 2024. My name is Kgaugelo Legoabe-Kgomari and I'm very proud to welcome you to our results and also to introduce our executive team led by Mr. Dominic Sewela. Apologies, ladies and gents. It seems like we've got a technical issue which should be resolved in a few seconds. I was pressing the wrong button. Anyway, so back to the results. As I said, Mr. Dominic Sewela will take us through the Group highlights. He will be followed by Ms. Nopasika Lila, our Group Financial Director, who will provide the financial summary. First up in the Industrial Equipment and Services pillar is Ms. Andronicca Masemola, who will deliver results for Equipment Southern Africa. And she'll be followed by Mr. Emmy Leeka, who will provide results for Eurasia. Mr. Chris Wierenga will take us through results for Ingrain, which falls within our Consumer Industries pillar. Thereafter, Dominic will wrap it up by providing a strategy update and give an outlook for the year 2025. We'll take some time to address any questions that you may have and you're welcome to post them on the line. Without much further ado, I'll hand over to our Group CE, Mr. Dominic Sewela.
Dominic Sewela: Thank you, Kg. Good morning, ladies and gentlemen. Once again, welcome to the Results Presentation for the Year Ended September 2024. As per usual, I always open up with a presentation of our review of the contribution to the environment and the societies in which we operate. Starting with the environment. In 2022, we set an ambitious target of improving our consumption metrics by 20% -- by 15% by 2027. These targets are in respect of non-renewable energy consumption, Scope 1 and Scope 2 greenhouse gas emission and municipal and borehole water withdrawal. We have implemented several environmental initiatives as we work towards meeting these targets. In 2024, we increased our renewable energy consumption as we continue to invest in our solar PV capacity. We celebrated the opening of our Phakalane facility in Botswana which is EDGE Advanced Certified in accordance with the global standards developed by the IFC for Green Building. On diversity and inclusion, our corporate profile closely resemble the world we operate in. We surpassed our goal of having at least 50% women representation in leadership. And we continue to transform our workforce to resemble the demographics of the populations we serve. In 2024, we continue to advance our holistic employee well-being program where we have expanded our definition of safety and wellness to include psychological safety and mental well-being. I'm proud of the impact of our corporate social investment programs. Our effort towards social entrepreneurship, economic development and inclusion were recognized through Mbewu, receiving the CSI Legacy Best Award -- Corporate Award for 2024. Siyakhula contributed ZAR16 million to fund 46 beneficiaries as part of our Enterprise and Supply Development Program. The multiplier effect of our contributions provided 896 individuals with such needed employment opportunity. We continue to address the challenges of youth unemployment through our Group-wide Young Talent Program, apprenticeship, internships and leadership. Our Board is a custodian of corporate governance and ensures that Barloworld has sound governance structures in place. The Board is appropriately balanced in terms of knowledge, skills, experience, diversity and most importantly, independence. However, we are disappointed to learn of the potential export control bridges in our division at VT. As indicated, we filed a notification of self-disclosure to BIS on a voluntary basis. We expect to complete this filing by 3rd of March 2025. In 2023, I did caution against an expected slowdown in business activity, driven not only by cyclicality of the Equipment Southern Africa business but also other factors which led to the constrained trading environment. Our results for 2024 bear testament to the effectiveness of our fixed-optimized growth strategy in navigating these challenges. Our portfolio diversification and strategy execution through the Barloworld Business System has enabled us to weather the volatile macroeconomic backdrop. We indicated at the beginning of the financial year that we would focus on reducing our interest-bearing obligations including normalizing the utilization of our floorplan facilities. I'm pleased to report that we reduced gross debt by 29%. We totally removed the UK pension fund exposure from our balance sheet. In this regard, we made a final payment of GBP27.2 million to the Barloworld UK Pension Fund. Our revenue declined by 7% to ZAR41.9 billion and yet we maintained our EBITDA margin. The respective CE will provide further details thereon. Although ROIC has dipped from a prior year, it remains above our cost of capital. Our HEPS at ZAR10.22 per share declined by 12% and Ms. Lila will provide more color with regards to the normalization of HEPS. I mean there are certain specific events that are not going to be repeating in the following year. I'm confident in our liquidity position and positive that the consistent execution of our strategy will be sustainably -- will be sustainable going forward. I'm pleased to announce that the Board has approved a final dividend of ZAR3.10 per share, representing a total dividend of ZAR5.20 per share in respect of 2024 financial year. This represents 4% growth relative to prior year. I'll hand over to Ms. Lila to take us through the financial overview. Thank you, Ms. Lila.
Nopasika Vuyelwa Lila: Good morning, ladies and gentlemen, and thank you Mr. Sewela. Thank you for joining us in these results presentations for the period ended 30th September 2024. Resilient performance in tough business environment. If you will allow me to focus on normalized performance for the Group and this is before taking into account the extraordinary items that will not repeat being the $10 million in Mongolia for the earnout and this is indicative of great performance coming from that territory. Also provisions for VT amounting to $26.7 million. This is also in dollars, also an extraordinary item not to repeat. Taking these two items out, you will observe that we delivered exceptional results. EBITDA up 9%, operating profit from core trading activities up 3%, ROIC up 2.3% at 19%, ROE 2.6% at 15.5% and then on the HEPS side, up 21% at ZAR13.98. Moving on to the income statement, our overall revenue reduced by 7% and this is owing to Barloworld Equipment Southern Africa revenue reduction as well -- and that was set off by the great performance coming through from Eurasia. The Eurasia revenue was as a result of the Mongolia that increased by 69% in this financial year and this was bolstered by the strong economy in Mongolia. We maintained our EBITDA margin at 12.2%, very much in line with the previous financial year and similarly with our operating profit margin at 9%, almost flat from the previous 9.6% in the previous year. At the peak of interest rates across the globe, we have been able to reduce our net finance cost by 5% -- 5.3% to be exact, benefiting from the 29% reduction in our gross debt. And we had opened the financial year with a peak of gross debt of 11.1% and over the period of the year, we have gradually reduced that debt. We were able to counter the revenue from some of the geographies with a significant improvement in Others and this is demonstrating the resilience of our geographic diversity. The revenue reduction in Southern Africa is attributable to the soft sales volumes amid global -- weak global economy as well as mining activities. The VT revenue reduced by 20.7% on the face of prolonged sanction environment and the contraction of its addressable market. Mongolia, as I've said earlier, increased by 69% as a result of the demand in both prime products as well as the aftermarket. Moving back to South Africa on the Ingrain front, Ingrain showed resilient performance in revenue and it retained and remained flat from the prior year. Operating profit was impacted by the two extraordinary items that I've mentioned earlier and these expenses being Mongolia and VT provisions. Southern Africa improving its margins due to the sales mix moving more towards the aftersales. I am proud and equally excited to share with you that Mongolia's performance in the current year surpassed our acquisition thesis and therefore triggered the earnout of $10 million translating to ZAR185 million as I've mentioned. And this has resulted therefore into the contribution of that ZAR108 million to our fair value loss in financial instruments. On the tax side, our effective tax was favorably impacted by the reduction in inventory in the jurisdiction that are dollar-denominated and adversely impacted by the expenses extraordinary as well as impairments and any other capital items. On the joint ventures and associates, these businesses continue to deliver positive results. Although slightly behind the previous year. NMI operated in a constrained consumer market because of the high interest rates and we are also slowly starting to see an influx of the Chinese OEMs into the market and we are participating in some. I'll allow Andronicca to elaborate further in terms of the performance of Bartrac. Turning our attention to the balance sheet, our balance sheet remains solid with assets exceeding liabilities by ZAR16.7 billion. Gross debt reduced by 29%. Also our floorplans reduced by 27% and also the pension fund liability, as Dom had mentioned earlier, we were able to settle the pension fund and that was a final settlement of 330 -- sorry, ZAR632 million. Working capital management improved through the reduction in inventory as well as use of excess cash to pay down our debt as well as payables as we were reducing our inventory. This is a solid and strong balance sheet, ladies and gentlemen. Moving to our net debt, we were able to maintain our net debt year-on-year as you can see, and we were successful in executing on the U.K. pension fund and you will not be seeing assets and liability in our balance sheet as a result. And also then the settlement of the pension fund of ZAR632 million has resulted in the increase in our net debt to ZAR1.4 billion. On the covenant side, we continue to comfortably meet our covenants while we maintain a healthy headroom. In the current year and in line with our dividend policy, I'm pleased to announce that the Board has approved ZAR3.10 per share in dividend and this totals ZAR5.20 including the ZAR2.10 interim that we had paid during the year. The overall dividend increased by 4% year-on-year. We have created value for our shareholders and we continue to do so and this is reflected in the ZAR16.5 billion that we've returned to our shareholders in the past eight years. With that, I'd like to thank you ladies and gentlemen and hand over to Andronicca Masemola.
Andronicca Masemola: Thank you, Nopasika. Good morning, ladies and gentlemen. I'm pleased to announce Barloworld Equipment Southern Africa results. These results are reflective of a tough economic condition and a subdued mining industry. Revenue ended 12.7% lower than the prior year at ZAR25.7 billion due to the reduction in equipment sales. Total part sales grew by 4% boosted by a growth of 13% from Greater Africa. Operating profit after fair value adjustments trailed revenue and was down 11.9% at ZAR2.2 billion, while EBITDA margin improved to 12% compared to 11% last year. Free cash generated was a positive ZAR114 million. This was after allocating ZAR900 million to a rental business and also repaying our working capital facilities to the tune of ZAR2.2 billion. Return on invested capital remain above cost of capital at 21%. Moving on to new equipment sales by segment. As expected, new equipment sales were down 30% compared to prior coming off the peak of the replacement cycle in 2023 where a growth of 69% was recorded. Looking at the sales mix, Energy & Transportation doubled its contribution to 12% with a total revenue of ZAR1.1 billion. Construction contribution increased to 36% from 31% while Mining contribution dropped from 63% to 52%. Zooming into new machine sales in the Mining segment, zinc contributed significantly to the sales mix at 28% on the back of a brownfield project in the Northern Cape. Copper contribution remained stable at 10% while sales to the coal segment dropped from 31% to 20%. The slowdown in this segment was influenced by low coal prices and infrastructure bottlenecks. The changes in the sales mix year-on-year reflect a diverse nature of our portfolio which guards against cyclicality. Aftermarket revenue has shown a consistent growth since 2021, demonstrating our focus on growing services. As a result of this favorable mix, operating profit margin improved to 9.3% compared to 9% in the prior year. Moving on to Bartrac JV, the JV delivered a positive share of profit at ZAR193 million, representing a compound annual growth rate of 16% since 2022. In the second half of 2024 financial year, activity slowed down because of challenging trading conditions influenced by ongoing changes in the regulatory environment and deferral of a key mining project. Our outlook for Bartrac remains cautiously positive while navigating prevailing trading conditions. Our divisional focus areas are consistent and largely unchanged. Growing services still is our highest opportunity underpinned by digitally enabled solutions. The attraction, deployment and retention of our staff is key in driving sustainability and better customer experience. Moving on to the outlook, over the long term, we remain optimistic about Mining as the quest for strategic minerals key to the energy transition intensifies. The need for infrastructure investments in energy, water and roads presents a compelling case for us to continue investing in geographies where we operate. The order book at ZAR1.6 billion reflects the Mining downcycle. Post-balance sheet, the order book grew by 40% attributable to the Construction segment which increased to ZAR850 million bringing the total order book to ZAR2.3 billion. I thank you and I now hand over to Emmanuel Leeka.
Emmy Leeka: Thank you. Thank you, Ma Masemola. Good morning, ladies and gentlemen. It gives me pleasure to present Eurasia financial results for the year ending September 2024. Eurasia continued to deliver strong results on the back of stellar performance from Mongolia. Revenue was up 9% in dollar terms to $490 million, mainly driven by Mongolia machine sales and the aftermarket growth with Russia down 22% due to the trading restrictions and product availability. Operating profit was slightly down due to the VT impairment and restructuring cost that was indicated earlier by Ms. Lila and we also raised a $10 million earnout for Mongolia. With that, it's pleasing to see that our returns improved from prior year at 33% to 53% with the cash generation of $71.5 million for the period. And with this, I would like to double-click and unpack the two regions separately. Starting with Mongolia which delivered high-quality record results. Revenue up 66% with machine sales increase of 143% and aftermarket growth of 33%. This resulted in a prime product contribution as you can see on the bottom left graph of 47% contribution compared to prior year of 32%. The product support contribution increased to 45% of the total revenue mix. Mining contributed 94% and you can see the concentration in terms of the revenue by market sector as well as commodity where coal continued to be at highs of 66%. When we exclude the earnout, looking at the core trading activities of the business, the business generated operating profit of $57 million which was up 73% compared to prior year with EBITDA margin at 23.9% and operating profit margin at 21.8%. Ladies and gentlemen, the return on invested capital for Mongolia was at 112% compared to prior year at 43%. This is mainly due to some of the prepayments as well as the favorable payment terms that we had over the period. The focus has been on customer and market sector diversification. We have progressed well in gaining momentum with government infrastructure tenders and Energy & Transportation asset class participation. With our partnership with Progress Rail, we're busy delivering some of the locomotives in country but also pleasing that we have over 100 small gensets that we'll be delivering in this financial year. The investment climate remains challenging and of note is the introduction of the Sovereign Wealth Fund laws. As we have seen positive developments in the country's macroeconomic indicators boosted by exports and sustainable economic growth resulting in improved sovereign ratings for Mongolia. As I've mentioned the new laws, this might have an impact on the ownership of strategic commodities like coal, copper, uranium and rare earth minerals where this brings in uncertainty and dispute over the ownership and security of tenure and can also deter investment and slowing down resource development as there are good bankable and feasible projects that I will unpack with the next two slides. There is a plethora of brownfields projects across the country for coal, gold and copper mines and as you can see on the left-hand side of the graph, we secured the Naryn Sukhait Coking Coal project which is owned by the Mongolian Oil Corporation which is the MAK. We have delivered already significant amount of equipment. We are left with the 794s that we will finalize deliveries at -- this first quarter of this new financial year. But also most of the projects are at the tender stage and we spoke before about opportunities like the Oyu Tolgoi underground copper mine where they've busy processing the tenders that was issued. We are hopeful with this and also when you look at the greenfields projects, most of these projects intend to start processing plants in 2025 as well as 2026. We hope that the new mining costs and the commodity prices will not deter these investments. We have seen improvement in terms of infill drilling where the resource base, as well as the reserves have been improved across. And some of the projects using new technology like the TBD Copper Project where it will use heap leach driving down the cost and reducing as well the use of cyanide, exciting in terms of processing as well as exciting in terms of technology that we're able in partnership with Caterpillar from automation to make sure that we can deliver on these projects. Now zooming into Russia. Due to the prolonged sanctions and export control regime, the addressable market continued to reduce. This resulted in revenue down 22% and with a product support contribution at 72% of the total revenue. As indicated earlier by Mrs. Lila, we have made voluntary disclosure with the BIS of the possible violations to the export control restrictions. And as a precaution and mitigating action, the division has refined some of the inventory that is restricted and provided for the sum of the restructuring costs to a tune of $27 million. This impacted our profit down to 37% operating profit and with EBITDA down 35% compared to prior year and the operating profit margin was at 12.4%. But if you exclude those provisions, the OP margin stays strong at 24% compared to prior year at 15.4%. Now the restricted cash or cash on hand in country, by the end of September was sitting at $92.5 million. Our strategy remains the same and at the core of it all is our continuous improvement drive through the Barloworld Business Systems. And we have been transparent regarding compliance and it will endeavor to ensure that we mitigate all the challenges that we are having with the ever-changing laws across the territories where we operate in. The customer and segment diversification is key for us which will help us to grow organically. With uncertainty and difficult times, this calls for relentless cost discipline. Now going into 2025, the prime product activity in Mongolia will moderate as indicated by the order book as a precursor. The current trajectory on capturing lost opportunity and demand for commodities will drive and sustain growth in Mongolia. Further restrictions on Russia will curtail activity and help the top line. With a focus on operational excellence, managing working capital and containing costs will be key for us to deliver returns above the hurdle rates. Delivering on our promises is our mantra. Caring and safety is our ethos. Employee well-being and wellness will be key for us during this difficult period. As indicated, the firm order book is predominantly Mongolia and mainly coal. There is still uncertainty on the security of tenure due to the Sovereign Wealth Fund that I've mentioned earlier on. If this is resolved it will unlock most of the bankable projects as indicated earlier. I thank you. Now I would like to hand over to Mr. Wierenga.
Chris Wierenga: Thank you, Emmy. Good morning ladies and gentlemen. It gives me pleasure to deliver the results for Ingrain over the last year. I think overall it's been a challenging 12 months in the business, but we're very, very pleased with the turnaround actions and the effects of these that have come through in the second half of the year. We've seen stable revenues in the business and higher selling prices have offset the impact of lower volumes, particularly in the domestic market. We believe that the turnaround actions have really delivered on the operating performance and I'll unpack that in two slides. Time for us. EBITDA is down only 8.2% at the year-end, an improvement against the 20% decline that we reported at the interim period. In sympathy with that, operating profit decreased by 15.8% due to the higher fixed costs experienced in the first-half of the year. But in making sure that we invest into the future, the business has remained cash-generative in the challenging environment with free cash of ZAR123 million, and that's despite us delivering or spending cash CapEx in this business of ZAR285 million in the 12 months. And that's on the back of much-needed plant investments that we've committed to in this particular business. If we look at revenue, you can see fairly stable revenue with the slanting of the mix towards a slight growth in exports. We're very pleased with the demand that we're seeing in southern Africa despite the lower International starch and glucose prices, which is limiting participation in the deep sea markets. Our agri product line is -- will move in line with domestic sales, but we're also seeing some improved product availability as a result of the improved in yield and efficiencies in the business. And then domestic sales have sort of started to come back a bit in the second half of the year and we're seeing some positive growth in that segment as well. If we just look at the turnaround actions, I really just want to draw your attention to the improvements made in the second half compared to the second half last year, and then also the improvement against the first half of the year where we saw a decline coming through in the domestic market. We're quite pleased, I said, with the growth in regional export volumes. The fixed cost discipline has seen us hold fixed costs in the second half below inflation in the business. And then the EBITDA uplifted 5% compared to the H2 results in a very difficult year. We're very pleased with. And that's despite higher maize prices that were prevalent for the bulk of this particular year. And then on the operating efficiency side, we're getting back to running our plants to the standards that we expect. And you can see the reversal of the trend that we've experienced over the two years. And the prior 18 months have been quite challenging in that particular area. But we seem to be through that and we're trending in the right direction continuing into this year as well. If we have a look at the operations generally, we've processed less maize this year on the back of some of the challenges that we experienced in Germiston. We had a fatality in the Germiston plant as reported in -- at the half-year reporting and that constrained production in that particular plant. We also had some limited steam availability or challenges of steam availability at Kliprivier and that has improved in the second half, but reduced production capacities at both of those plants. We're very pleased though with the improvements at Belville as well as the improvements in yield at the Meyerton facility and this is largely due to the CapEx that has enhanced the efficiencies across our operations. From focus areas for this particular unit, I think in line with our safety drive and then overall well-being in our operations, we'll focus on -- we'll continue to focus on that and shifting culture in this business. We see big opportunities to improve supply chain efficiencies and those will couple into plant availability in driving overall plant performance in this business. It's really about sweating the assets that we've got in this plant and making sure that the reliability improves substantially. We need that in order to grow the domestic and export sales opportunities that are available. And it will obviously ensure that we manage cash and the commodity price exposure as we traverse the rest of this year and into the 2025 maize season. And lastly, there's a lot of work to be done in this business on sustainable development and particularly our impact on the environment. And here, we are very pleased to announce the rollout of a solar facility to supplement grid electricity at Kliprivier and that will result in a reduction in overall CO2 emitted across the plants. And there are other initiatives in planning and underway to reduce our impact in the environment over the long term. If we have a look at the outlook for the business, we're starting to see green shoots coming through. We believe that the consumer confidence in line with a declining interest rate environment should bode well for domestic demand. Maize prices will remain high, I think, until July next year where we're seeing much softer prices at the moment on the back of the better plantings that we're seeing this year than we did last year. So we're expecting a better crop in line with a, let's call it, an easing weather pattern coming through and rainfall still expected to give good results in the 2025-'26 harvest year. We expect to sustain the benefits of our restructure and then are on track, we believe, to achieve our target returns over the next 24 months and that's despite the challenges that we've experienced. The business still performing well ahead of its acquired EBITDA in 2020. And then we also want to make sure that our capital deployment continues to yield a better operating performance across the business. Thank you very much. And with that, I'm going to hand over to Dominic to conclude.
Dominic Sewela: Thank you, Chris. The completion of our fixed and optimized component of this strategy has simplified and strengthened the core business which has resulted in the sustained and consistent delivery of return on invested capital. I've often said many times that the focus has been on returns for the last seven to eight years and most notably over the last four years, we've seen basically us deliver returns on invested capital above our cost of funds. The effect of the successful deployment of BBS within Barloworld is also demonstrating the returns generated by Equipment Southern Africa. Eurasia, I think Emmy did explain some of the exceptions in terms of that high return. These have been upward tragically well above Group hurdle rate. At Ingrain, the combined effects of high inflationary environment coupled with the challenges in operating efficiency that Chris has outlined which led to the decline in our 2024 results, these have required the necessary interventions. I think the CapEx spend in that area, you've seen in the second half that there's been significant improvement and those are going to be kept going forward. And to that extent, we remain resolute in our focus to improve ROIC in this business in 2025. The focus on shareholder returns have resulted in an improved ROE when compared to returns achieved between 2017 and 2020. I think Nopasika was able to highlight a return of 15.5% on a normalized basis. But the dip in 2024, we remain confident that the portfolio will continue to sustainably deliver shareholder returns that beat the equity hurdle rate. The Fix and Optimize and Grow strategy, together with our capital allocation framework has already been beneficial to shareholders since the inception in 2017. I think Nopasika did make this point. ZAR16.5 billion of capital returned to shareholders. If you look at that, it's almost the same as the current market cap. During this period, we invested circa about ZAR9 billion in acquisition, which was both Mongolia and Ingrain as you could see. I mean the earnout in Mongolia demonstrate that this business performed better than the thesis in our acquisition. Similarly, notwithstanding the return metrics, Ingrain performs better than our thesis at acquisition as well. Delivery of the TSR to shareholders has been positive despite the obvious challenges during the same period, and these are due to cyclicality in the Mining cycle which is expected. I said last year, I did indicate that we're going through a down cycle. The climate effects affecting the consumer business, particularly on the maize side, geopolitical instabilities in our operating environments and this speaks to Russia, Ukraine, Mozambique because of the current riots has impacted our employees and our ability to actually deliver service to our customers in that area. Inflationary pressure over the last 24 months and hopefully with the events in the United States probably we could see instability coming out of that, but we're not sure because I think it's something that we'd watch, but we have no control over that. The impact of the pandemic in 2020-'21 obviously something that we've now weathered the storm, past those events. In terms of outlook, we are optimistic about the future prospect while continuing to exercise caution. While we expect some growth in 2025, this could be undermined by the geopolitical tensions and flashpoints which continue to present potential headwinds. The potential levies that could be levied by the U.S. against China could be inflationary in the States and if ever the retaliations that could be problematic. We expect activity in domestic environment to pick up driven by lower interest rate and inflationary environment which would decrease in South Africa, that is. And we expect consumer expenditure to help our business, particularly in 2025 in the Ingrain. As a Group, we recognize the importance of our key endowment and having a firm grip on what you can control because you can only focus on those things that you can control, particularly in the downturn. I think we've seen this year, we took action in Equipment Southern Africa as well as in Ingrain. And you saw the second half, tilting to deliver a better results. We drive our cultural transformation through BBS which is underscored by respect for people and continuous improvement even when times are tough. And we have a strong balance sheet as indicated by Ms. Lila to support organic and acquisitive growth. Looking at each divisions, now starting by Equipment Southern Africa, the aftersale opportunity in southern Africa has increased in line with the increased installed population. We expect increased activity in construction sector as a result of the increase in GDFI. This will offset the expected slowdown in mining equipment. I think Andronicca did indicate a post-balance sheet that we received an order of about ZAR800 million, which I haven't seen in a long time in the construction sector. And I think it speaks to the order books that you're selling with the construction companies. And when you look at Equipment Mongolia, we'll continue to benefit from increased activity in the region. We'll keep a watchful eye on the prospect for downturn in the cycle which so far has been boosted by pent-up demand from China. And I think Emmy spoke about the wealth fund issues. If those could be resolved, clearly, we're likely to see investment flowing through Ingrain and that will benefit us. Ingrain will benefit from our ongoing investment in preventative maintenance to support production and opportunities to grow volumes in domestic market as a result of improved consumer confidence. We continue to focus our strategic lever of fixing and optimizing our existing business portfolio to ensure we achieve our portfolio's full potential. I will pause at this moment to see if we can take questions. We've got 15 minutes. Kg, are there any questions on the line?
A - Kgaugelo Legoabe-Kgomari: Yes, Dom, the questions on the line. First up I'll take from Mr. Roy Cocaine and he says, can you provide an update on the potential offer by a consortium to acquire all the issued shares in Barloworld, including when it's likely that it will become clear that there is a firm intention or not. In addition, can you confirm that as suggested by the proposed acquisition of all the issue shares in Barloworld that if the proposed transaction is finalized that it will lead to the delisting of Barloworld from the JSE?
Dominic Sewela: Thank you, Roy. I think currently we could not comment over and above what the cautionary says and to an extent that there is any change to the cautionary, the company will issue an updated cautionary. Thank you very much.
Kgaugelo Legoabe-Kgomari: Thank you. This question comes from Paul Steegers and it's directed to Equipment Southern Africa. It says what is the outlook for Equipment Southern Africa in terms of revenue growth and margins? Can you grow profits in financial year 2025 given the Mining cycle weakness? I'll also pair it up with the next question to say can you then also grow Bartrac in profits for 2025?
Andronicca Masemola: Thanks, Paul for those questions. Starting off with South Africa, our expectation is that the current conditions in the Mining segment will prevail for the larger part of 2025. We calling on an improvement towards the end of 2025, 2026 and therefore our expectation is that Mining will still be subdued. However, on the positive side, as indicated Construction is starting to pick up. And based on that, Mining still carrying the biggest portion in terms of revenue mix, we're not expecting a significant improvement year-on-year. On Bartrac, there are still opportunities in that market. Our forecast is informing copper prices that will hold into 2025. We still have a project with one of our large customers to rebuild their large mining fleet, which was put on hold. The timing of that project will really determine what happens with Bartrac. And the other large customer is looking at expanding their pit. It all depends on how we really navigate this ongoing changes in the regulatory environment. It does create challenges in terms of planning given the uncertainty. Thanks.
Kgaugelo Legoabe-Kgomari: Thanks, Andro. Question on Ingrain from Paul. Please talk to Ingrain outlook in terms of supply chain efficiencies and what this means for margins and profit growth in 2025.
Chris Wierenga: Thank you, Paul. I think just looking at the supply chain efficiencies, this is all about picking up a better supply chain planning with our key customers, making sure that we can improve stock availability and therefore throughput in the plants. We do see that leading to fewer grade changes in the plants which will increase plant availability and therefore ultimately have an impact on margins overall. We do see the work that we're doing there probably taking about 18 to 24 months to fully integrate with some of our key customers. But we do think that overall it will lead to growth and better margins in the business as well. Thank you.
Kgaugelo Legoabe-Kgomari: Thank you. I'm going to go back to Mr. Roy Cocaine and he asked around the potential export control violations in VT. Can you provide more information about those, including if it has been confirmed that there have in fact been export control violations and if so, some indication of the seriousness of these violations in terms of volume and nature of goods supplied that potentially violated export controls?
Dominic Sewela: Yeah, Roy, thank you once again for the question. As we've indicated previously, there's currently we have appointed an investigator -- independent investigator to verify the veracity of what we have picked up. And at the moment, the work is underway. As I did say in my statement that we expect the work to have been concluded and we submitting the report to BIS by 3rd March 2025. I think it will be premature and too early at the moment to be giving details on that. Once we have ascertained that from an independent aspect, we then can be able to provide the market in full what we've picked up. Thank you very much.
Kgaugelo Legoabe-Kgomari: Thank you. Moving to Mongolia and the question from Paul Steegers, both of them, what is the outlook for Mongolia? Order book now lower. So will it still grow revenue and profits into 2025? That's question one. And the next question is, can you please elaborate on the Mongolia wealth fund issues? What does it mean if not resolved?
Dominic Sewela: Emmy?
Emmy Leeka: Thank you. Thank you, Paul. As I've indicated that Mongolia in terms of performance activity for prime product will moderate given the fact that we had a lump sum order from one customer and with the top line as well, we're saying it's going to moderate. But comparing it to prior years, it will still be overall growth. We are still hopeful in terms of the opportunities that are there, the tenders that we have submitted. Some of them are overdue in terms of them giving us feedback. Now, how does it link into the new laws that have been proposed or even enacted is that the government has actually said for those strategic minerals and strategic assets where they have conducted preliminary drilling with the government's funds. Historically, all of the Mongolian resources were actually in terms of drilling was done by the government. And the government says it is entitled to a certain percentage close to about 34% and in where they -- that is 34% when the minerals were discovered by independent companies. But where it was discovered by the government, the government is entitled to 51%. And we understand that most of the tenements, currently most of them are privately owned. So it has some implications in terms of the unlocking some of the potential. And there's a strong advocacy in terms of how to resolve it, it's broadly good for the country in making sure that they manage the strategic commodities, but also diversifying into other areas of agriculture and infrastructure development. Thank you, Paul.
Dominic Sewela: Thanks. Thanks, Emmy.
Kgaugelo Legoabe-Kgomari: Thank you. This next question is from Mr. Shane Watkins from All Weather. He says, if the transaction does not proceed, would you consider a buyback?
Dominic Sewela: I guess, our buyback and our capital allocation strategy has got nothing to do with the transaction, Shane. So all it is, currently for us is business as usual and the independent board deals with those issues. So -- but basically, as we've indicated, in terms of our strategies in place and hence the Board decided to basically declare dividend to ZAR3.10, where it brings the total to about ZAR5.20. And yes, basically that's that. Thank you.
Kgaugelo Legoabe-Kgomari: Thanks, Dominic. I don't have any further questions on my end.
Dominic Sewela: Okay. I guess, thank you very much, ladies and gentlemen, for attendance. We appreciate. We'll be seeing some of you in the next couple of hours and some of you will be meeting in the next two days as we do the roadshow. And thanks, everybody. Have a lovely day. Thank you very much. Cheers.